Jemima Benstead: Good morning, everyone. Thank you for joining the call. I'm here with our CEO, Zoran Bogdanovic; and our CFO, Anastasis Stamoulis. We'll start with some opening remarks from Zoran, and then open the floor to your questions. [Operator Instructions] We have about an hour for the call today, which should give plenty of time for a good discussion. Finally, I must remind you that this conference call contains various forward-looking statements. These should be considered in conjunction with the cautionary statements in our trading update of this morning. And with that, I will turn the call over to Zoran.
Zoran Bogdanovic: Thank you, Jemima, and good morning, everyone. Thank you for joining this call. Let me start by calling out 3 key highlights from these results. First, we've achieved another quarter of strong revenue growth with good volume momentum as well as revenue per case expansion. This is a strong start to the year, and I'm really pleased that our results continue to demonstrate how our business can deliver quality growth in a challenging and unpredictable macroeconomic and geopolitical backdrop. Second, we gained a further 130 basis points of value share in the nonalcoholic ready-to-drink market. This is a testament to our unique 24/7 portfolio and our focused execution to drive joint value creation for our customers. And thirdly, this strong start to the year, combined with our 24/7 portfolio, our bespoke capabilities and our proven track record enables us to reiterate our 2025 guidance that we issued in February. And now I'll share some detail on the Q1 performance, and then Anastasis and I will be happy to take your questions. Organic revenue grew 10.6% with volumes up 1.8% and revenue per unit case up 8.7%. Reported revenue grew 8.7%, as we continued to face some currency headwinds, although these were lower than in 2024. We delivered another quarter of volume growth. I'm really pleased by this continued momentum and how we have adapted to the current environment, leveraging our 24/7 portfolio and execution excellence to achieve this. Revenue per unit case also continued to expand, driven by both price and mix. This was supported by our revenue growth management framework, which allows us to take a segmented approach to pricing in all our markets, considering inflation, currency movements and the competitive and regulatory environment. Pricing remained an important driver of growth in the quarter due to the ongoing levels of high inflation in Africa, whereas in Europe, as expected, inflation remained at lower levels. Our ongoing focus on improving both category and package mix drove good results with total single-serve mix up a further basis -- 50 basis points overall in the quarter. Our revenue growth management toolkit also enables us to meet demand from consumers for both affordability and premiumization. In terms of affordability, we continue to focus on entry packs and smaller packs as well as leveraging promotional activities. When it comes to premiumization, I want to call out a newer initiative that we have been implementing in Nigeria, targeting the premium consumer to support our efforts to drive profitable growth. As we've spoken about before, jointly with Coca-Cola Company, we are leveraging our data insights and analytics capabilities to segment consumers and customers. In the quarter, we further advanced our customer segmentation for specific consumer groups with a focus on targeting the affluent urban consumer. In the targeted cities in Nigeria, we now have custom-built segmentation, and we are able to categorize affluency per outlet per city. In these specific outlets, we are activating our premium portfolio, namely Cans, Energy, Schweppes and Juice, and we can execute hyper-personalized communication and marketing activities. It's early days, but just to give one data point, Schweppes volumes grew mid-teens in Q1 in Nigeria. Another initiative I want to highlight, which Ruchika mentioned at the buy-size event last year in our HoReCa segmentation approach, where we can now leverage our data-driven segmentation to offer each HoReCa client a relevant assortment of premium products. Now turning to performance by category. Sparkling performance remains resilient with volumes up 1.1% in the quarter. Trademark Coke grew low-single digits with Coke Zero growing high-single digits. We activated Coke & Meals campaigns across many markets throughout the period, leveraging what continues to be the biggest consumption occasion of Coca-Cola. And I'm really excited that as of early April, nearly all our markets have started activating the Share a Coke campaign, which will continue through the summer. The last time we did this campaign was over 10 years ago. It was a great success back then, and we are excited to see the impact this year for newer consumers. Energy growth remained very strong with volumes up over 25% despite tough comparatives. After the successful launch of Monster Green Zero Sugar last year, we continued to build stronger distribution of the brand in our markets. We introduced new innovations of Monster such as Rio Punch, which we launched in 10 markets in the quarter. We also introduced various local marketing activations. For example, in both Nigeria and Egypt, we launched local campaigns and partnerships with Chelsea Football Club to activate Predator and Fury. Both brands saw strong double-digit growth despite tough comparatives. I want to take a moment to explain the performance in coffee. As I mentioned at the full year 2024 results, we have made the joint decision with our partners at Costa Coffee to prioritize further strengthening coffee in the out-of-home channel rather than the at-home channel because that is where we see the greatest potential for sustainable, profitable growth. In the quarter, we achieved good results from the out-of-home channel with volume growth of 19% from both existing outlets and newly recruited outlets. However, as we shift away from the at-home channel, this means there will be an impact on total coffee volumes in the short term, which is why we saw an 8% volume decline in the quarter. Let me reiterate, we remain very positive about the coffee category in the long term and still see significant white space opportunities. We have a strong credible business with unique competitive advantages. This strategic shift will allow us to continue capitalizing on that position, as we leverage our innovative tools and services to add value to both our customers and consumers. Moving to Stills, where volumes grew 2.1%. Water grew mid-single digits, and we continue to focus on driving profitable growth. Sports Drinks continued to grow well, up low teens as we leveraged relevant global and local partnerships mostly connected to running to drive transactions. In each of our markets, we are taking a local approach for sponsorships of Powerade. For example, a Half Marathon in Athens, the Women's Ice Hockey World Championships in the Czech Republic and the Vienna City Marathon. From Q2, Powerade will be venturing more into the football space globally, partnering with FIFA Club's World Cup and having signed 2 global ambassadors. Finally, Premium Spirits also had a good start to the year, and I'm excited that we've just launched the new Finlandia marketing campaign in nearly all of our markets. We are also launching the adult ready-to-drink Bacardi and Coke in 8 markets. Moving to sustainability, which is a key priority and growth enabler for us. I'm very proud of our leadership in this area and our continued focus on packaging circularity. In January, Austria launched a deposit return scheme with encouraging first results. DRS are now live in 9 of our markets, and we expect 2 more to come later in the year. In general, we continue to see the transitions to DRS progressing in line with plans and customers and consumers are responding positively. In January, we launched the first ever Coca-Cola system owned and operated packaging collection facility in Nigeria, which can process up to 13,000 tons of plastic bottles per year and is an important step in reducing waste by collecting and recycling packaging in Nigeria. Now turning to performance by segment. In Established, net sales revenue grew by 2.1% with volumes broadly flat and price/mix continuing to grow at a low single-digit level. I'm pleased with the volume performance, which also includes some impact from fewer selling days and later Catholic Easter than 2024. When it comes to categories, we achieved good performance in established from Coke Zero, Energy, Sports Drinks and Premium Spirits. In developing markets, net sales revenue grew by 4.6%, led by revenue per case expansion. Volumes declined 2.5%, also impacted by fewer selling days and later Catholic Easter than '24. Hungary and the Czech Republic saw good volume growth, but Poland volumes declined against the tough comparatives. Similar to the established markets, we saw good performance from Coke Zero, Energy, Sports Drinks and Premium Spirits. And finally, in our emerging markets, we delivered organic revenue growth of 20.3%. Revenue per case expansion continued to be the main driver of our revenue growth, as we navigated the impact of weaker currencies and high inflation in both Nigeria and Egypt. That said, I'm pleased with the volume growth of 3.5% in the quarter despite ongoing volatility in individual markets. Categories and brands that performed particularly well were Energy and Coke Zero. And now looking ahead to the rest of 2025, we continue to expect a challenging and unpredictable macroeconomic and geopolitical outlook. Despite this, we remain confident in our ability to navigate through periods of volatility with agility, supported by our 24/7 portfolio, our bespoke capabilities, our close customer partnerships and our people who remain close to the market. We remain on track to deliver against our financial guidance for 2025 that we set in February. Finally, I would like to thank all our people and partners for their dedication. As always, it is this collaboration that allows us to drive sustainable, profitable growth and continue to create value for all of our stakeholders in a range of market conditions. I look forward to working together to deliver on our guidance for the year and to prepare for the years ahead. Thank you for your attention. And with that, let us now open up the floor to questions.
Operator: [Operator Instructions] We are now going to proceed with our first question. The questions come from the line of Nadine Sarwat.
Nadine Sanford: Two questions from me. The first on Italy, I know you called out volumes in Italy down low single digits despite the headwinds of the lower selling days and the Easter. Can you give us a sense of excluding those factors, how is the business doing on a normalized basis? I know last time you mentioned the Coke & Meals campaign being a really important thing for you guys in Italy, too. So any thoughts that you can share on that and how that's progressing? And then I'll follow up with my follow-up on coffee.
Zoran Bogdanovic: Thank you, Nadine. Indeed, I think you said spot on that, first of all, Italy was really impacted by less selling days and also later Catholic Easter, which clearly has an impact in this country. I just want to -- I don't want to waste the opportunity to remind that over the last few years, we are very pleased with the development of the business in Italy, which over the last 3 years in average grew by 11% per year. And in the last few years, we clearly prioritized pricemix as conditions were such. And now as we are also rebalancing the algorithm, we are focusing on all the levers of revenue growth management of price and mix and volume. So if we would see this on a like-for-like basis, obviously, the performance in Italy was quite solid, definitely in line with our expectations. And I'm also pleased that the start of the trading in Q2 in Italy has been in line with expectations. And one of the drivers, as you alluded, is focus on food occasion, which in Italy really means connecting with iconic and passionate food, which is pizza. And this is where we are having a strong focus in our plans and execution behind meals where this occasion of pizza for dinner, but also more and more with lunch is improving our results. So that is also yielding that we see improving share trends in Sparkling in Italy, which is very encouraging. And lastly, to say that there are so many opportunities that we have in Italy and the portfolio that we are developing, and we do see results across Zeros, Adults, with Energy, with Tea and Sports Drinks. So all in all, I a little bit hijacked your question just to say a little bit more words on Italy because I'm really passionate about it.
Nadine Sanford: Understood. And then just on coffee and your decision to refocus on the out-of-home channel. In terms of the time line of that, what's the status? Are you out of the in-home channels that you wanted to be out of? Or is this going to bleed into Q2 and beyond? And once that's completed, how are you thinking about the normalized growth rate for the business that would then be focused on out-of-home?
Zoran Bogdanovic: Yes. So I think you heard me saying that coffee for us is an important category. It's one of our really priorities. And I want to emphasize that with coffee, we are not in any sprint. We are in a well thought through marathon, as we are building capabilities and our right to win in the category. And specifically here, I talk about the fact that with Costa partner, we are continuously learning and reading the market, which is very dynamic. And you know that over the last few years, it has been impacted also by Green Coffee pricing, which is impacting the economics of the category in certain aspects. And that's why we have seen clearly that opportunity and potential for more sustainable and profitable growth is in the out-of-home channel. That's why I'm very pleased to see that our growth in that part of the market is continuing as a result of the fact that we are segmenting the market, leveraging our data insights and analytics, which we are leveraging also for this category, which is helping us in prospecting new customers and onboarding them and acquiring them and then nurturing them once they are acquired. So that's why I would expect that over the next 2, 3 quarters until we cycle out the volume that we had in the at-home part of the channel. And then we clearly expect to see that our total coffee volumes will continue growing. And as I said, we really want to build here the business that is not only growing for the sake of top line growth, but we look holistically how we are building the business in an economically viable way for understandably sustainable value creation.
Operator: We are now going to proceed with our next question. The questions come from the line of Charlie Higgs.
Charlie Higgs: It's Charlie Higgs from Redburn Atlantic. I had one on the initiatives you were doing with the Coca-Cola Company in Nigeria. I thought it was a very interesting example and clearly delivering very good results with Schweppes. Just 2 questions on that. Like one, why is this kind of initiative only starting to happen now? And two, is this something that you could perhaps roll out more broadly across your markets to help drive faster sales growth? And then I have a follow-up, please.
Zoran Bogdanovic: Look, the fact that this is happening now is a result of the fact that both us and Coca-Cola Company are developing individually, but more importantly, together in the capability of data insights and analytics. We individually, but also as a system, are sitting on abundance of data, and it's a gold mine, which only through this capability, we can put into better use. And that's -- simply it comes as a result of the fact that also with the technological enablement and the resources and use cases that we develop, and our ability that is continuously increasing. I think we came to this more mature level that now we really can join the forces and do the segmentation of consumers and customers like we have not done before. And clearly, this has potentiality to be scaled, I believe, across Hellenic, but also looking from Coca-Cola Company lenses, also even broader. And I know that this is getting also visibility on a global level. And we are really excited with the insight that this is giving us, which is informing all the plans that we are creating and how much sharper and precisely we can now target consumers and consequently also customers related to those consumer segments, which we can now identify. So very excited about this, and this gives us the confidence that we are doing investments behind the right things that are real business drivers.
Charlie Higgs: And then my follow-up was just on the health of the consumer across your markets. In 1Q, you still had very good volume growth even with some of the headwinds you flagged from selling days and Easter timing. Like is this talking to maybe a better consumer environment? Or is it about the same? Or is CCH just executing better in a tougher environment?
Zoran Bogdanovic: Yes. Look, I can't say that it's significantly or that there is any better consumer environment. I would call it that it's stable. There is nothing significantly different than, I would say, Charlie last 2 calls. So it's pretty consistent environment, which we constantly monitor and on every country level because this is where the business happens. This is where we continuously monitor and read what is happening, how is the consumer reacting. And you know that we always say that in every country within our RGM, we have focus, especially behind affordability and also behind premiumization. So in short, pretty consistent state of consumer, which has enabled us to achieve this good blend of price/mix and volume piece.
Operator: We are now going to proceed with our next question. The questions come from the line of Matthew Ford.
Matthew Ford: It's Matt here from BNP Exane. My first question was just on the impact of Easter. You kind of called it out there for Italy, but are you able to quantify the impact at a group level from the technical factors you saw in Q1 and that kind of includes the selling day impact and the Easter impact? That would be great. And then again, you commented on April trading in Italy, but kind of same question really. Did you -- could you comment on how April has gone across your business at the group level? And then I'll just follow up with a second question afterwards.
Anastasis Stamoulis: Matthew, Anastasis here. Yes, well, in quarter 1, we had 2 less selling days than the previous period last year. And you're right, we had also the Catholic Easter phasing. We can say that the impact of these 2 selling days was roughly 300 basis points of headwind to the volume. And when it comes to the Easter, of course, you understand that it varies from country to country. But on average, we can say that for the established and developing segments, it was about 100 basis points of headwind. But for the group overall, it was less than 50 basis points of headwind. Now we do expect that this Easter phasing will come in -- of course, will reverse in quarter 2, but that's well captured within our guidelines. Overall, I wouldn't extrapolate this more to a bigger picture. We can say that we still see low single-digit volume growth for the year to go. I think when it comes to the trading update on April, I don't know, Zoran, do you want to add something?
Zoran Bogdanovic: Yes, Matt, as I said, for Italy, it's come -- it came fully in line with expectations. And as Anastasis said, fully fits the guidance we provided and in line with expectations as we gear up for the preseason and season as our key trading periods.
Matthew Ford: That's great. And then just my follow-up, I suppose, as you mentioned, the guidance. I mean, we've had a very strong start to the year. And I suppose in Q2, you've got a little bit of help from Easter and potentially some easy comps maybe in some markets. I suppose what is embedded within that top line guidance of 6% to 8%? Are you expecting a slowdown in the second half? And I suppose what made you more cautious in terms of not upgrading that guidance at this level? Yes, just any comments around that at this stage would be great.
Zoran Bogdanovic: Yes. Matt, look, the thing is that Q1, as you know, is the smallest quarter. And given the whole dynamic that we see across the markets and lots of volatility and dynamic situation, we really feel that the guidance that we have provided of 6% to 8% is what we really see. And still a key trading periods are ahead of us. And that gives us the confidence that we can deliver in line with our midterm guidance. And actually, it's even a broader corridor than what we have guided for the midterm. So it's quite early in the year, and we are encouraged with the start, but still 3 more long quarters to go.
Operator: We are now going to proceed with our next question. The questions come from the line of Edward Mundy.
Edward Mundy: So two questions, please. So just on Share a Coke, if you compare, I guess, the Share a Coke campaign today versus 10 years ago when the world was a bit more analog. You've got a lot more toys to play with. You've rewired the business from a data insights and analytics perspective and you got better relationships with your customers. I mean, how do you think about the parameter success of Share a Coke, both in terms of the near-term uplift and also the longer-term impact on brand equities? That's the first question. And then the second question is really around your revenue per case of 8.7%, pretty strong in the quarter. I think during the very high inflation period we've just come through, I think roughly 2/3 of your revenue per case was price and one-third was mix. Clearly, inflation is starting to ease, especially in your more mature markets. But are we looking at a more similar split today with roughly 2/3 and 1/3 price versus mix? Or is mix starting to become a bigger part given the growth of very high revenue per case categories such as Energy and Spirits and also the favorable pack mix you're still getting?
Zoran Bogdanovic: So on Share a Coke, I'll start with that, and then I'll hand over to Anastasis for the -- your second question. Share a Coke is -- well, as I said, 10 years ago, really was excellent campaign. And I think that's the type of campaign that truly fits so well what Coca-Cola as a brand means in the lives of consumers and how much it brings connectivity, connections. And we are quite excited in the way also the Coca-Cola Company has designed the whole campaign. Also respecting that decade later, there are also very exciting digital tools and Coca-Cola Company has excellent ways of how consumers connect through relevant platforms, and this is all embedded in the design of the campaign. Now yet to be seen what the campaign will deliver, but we are all very excited, and we truly believe that this is something that's at the core of consumer and brand equity building that we need. But also connected with what we love, which is that also campaigns are designed to drive transactions, and that's what we clearly need and want. And I'm quite confident about this campaign, both from the equity level, but also from the transaction driving mechanism. Anastasis?
Anastasis Stamoulis: Yes. Ed, you're right, pricing, the revenue per case expansion of 8.7% for the first quarter was predominantly driven by pricing. We need to note here that we have a carryover pricing effect of about 2/3 which is coming from the pricing actions we took last year, as you recall, to address certain challenges, especially in emerging markets with inflation and currency devaluation in Nigeria and Egypt. Also, there's a certain element of pricing on addressing legislation like the DRS in Austria or sugar tax in Slovakia. And of course, at a lesser extent, cost inflationary pressure of input cost. But I also want to underline a little bit on the mix effect here, where we had positive category mix, mainly driven by the good growth of Energy and Premium Spirits, and we are also benefiting from the Finlandia rollout in the Hellenic territories and a strong pack mix where we had positive contribution from single-serve mix of 50 basis points, as you have seen. Now going forward, we do expect that price/mix to remain the key driver of the revenue growth algorithm. But with pricing being at a lower rate compared to quarter 1, of course, we are going into a period where we are cycling and we have less carryover effect than the same period last year. And overall, as I said before, volume is expected to grow in the low single-digit area.
Operator: We are now going to proceed with our next question. The questions come from the line of Aron Adamski.
Aron Adamski: It's Aron Adamski from Goldman Sachs. I have 2. First is a follow-up on the relaunch of the Share a Coke campaign. You mentioned that back in 2013, it was very successful, and you mentioned the impact it has on transactions. Given that, I was wondering if you have seen any increase in the number of promotional slots or shelf space being allocated for trademark Coca-Cola by retailers this summer? And connected to this, I was also wondering if you would expect this campaign to drive an improvement in package mix during the summer months? My second question is on the potential sugar tax in Italy. Do you expect to see a greater demand elasticity in response to Italy sugar tax this year than you saw in Poland historically, given that the consumer has already been quite sensitive to pricing in that market? And if you could remind us what tools other than price, you can leverage to manage the impact of sugar taxes?
Zoran Bogdanovic: So with Share a Coke, like with any other campaign, having marketing calendar, discussing this well on time with customers, planning for it, is part of the way we plan and execute the year. And with Share a Coke, it's no exception. So everything that you said is exactly part of the game plan that we will secure promotional slots and adequate product displays in a variety of channels. So that's just part of the plan, and that's part of our execution excellence focus that we have. And maybe I use the opportunity to say that we will also have like last year, when we started for the first time where we get all in the market across all countries, not only people who are every day facing customers, but also people from all functions come together out into the market, to help exactly boost our presence and execution. But this also connects very strongly with the culture that we are nurturing here because execution excellence is not only limited to our sales teams in the markets, but execution excellence is part of our DNA across all functions. So this is the way to nurture it and to leave it together. And it's going to be very exciting with the Share a Coke. And as a consequence of that, it is going to ignite and support our package mix focus. For a number of years, we are continuously focusing on driving single-serve mix further. And I'm very pleased that every single year, we have been successful in that. Like also in Q1 and as Anastasis said, we had 50 basis points single-serve mix improvement and Share a Coke will play a good role because somehow, I would say that the whole campaign is skewed and more biased on variety of single-serve packages that we have. And lastly, on the sugar tax, which at the moment stands to be introduced from 1st of July this year. However, I would say that it's not done until it's really done, given the fact that we and other industry members managed to work with the regulator to postpone it. However, even if everything goes as it stands today, we are fully ready for already quite some time. To remind you that whenever sugar tax happens in any country, in this case, in Italy, we always pass that on. And in every such situation that we had in any other country, we have always seen that there is a temporary impact possibly, but it's over a short-term nature. And then we really resume and continue with the growth. Now the thing with Italy as the sugar tax stands today, it's not as aggressive as it has been in a few other markets, for example, in Poland. So the anticipated price increase potentially is in the range of anywhere around 8% and 11%. To remind you, this affects all players in the market. So when something like this happens in the market, it's different versus like a regular price increase that companies take individually because here, the whole market goes up. And that really represents a situation from which in a number of cases, actually relatively. We can be even better off as the price increase can be for us, in relative terms, smaller than for those who might be a lower absolute price. So in short, I'm not worried about that. We are fully ready. And I don't see that this is any obstacle for the growth trajectory that we have for Italy for the next years.
Operator: [Operator Instructions] We are now going to proceed with our next question. The questions come from the line of Sanjeet Aujla.
Sanjeet Aujla: Sanjeet here from UBS. Two for me, please. Firstly, can you just give us a feel for where you are on the journey on pricing to recover the FX headwinds in Nigeria and Egypt specifically? Is it just a case of carryover pricing benefits? Or is there still incremental pricing to come this year from those markets? And my follow-up question is just really around the boycotts you've seen in Egypt. Where are we on that? And are there any signs of boycotts on Trademark Coke in any of the parts of your business through April?
Anastasis Stamoulis: Sanjeet, let me start on your first question, and then Zoran will take over. So I think in general, on emerging, what we can say is that the revenue per case expansion on the quarter of 16.2% is clearly benefiting from the pricing actions we took in 2024. There is a strong carryover effect, both from Nigeria and Egypt in this case. And you can also add the sugar tax in Romania, which is predominantly actually the carryover effect from Nigeria pricing actions to address the FX, and inflation is the key driver of revenue per case this year. Now there is also a positive impact coming from favorable category mix when we saw Energy growing with -- on high levels, just short of 30% actually, which is also positive contributing on the case. Now going forward, we have always said that our strategy in countries like Nigeria and Egypt where there is FX volatility or inflationary pressure is always to address it with appropriate pricing. Such pricing has not been in the levels of once or twice a year, but more of a phased out approach to have a minimum impact in the market. And that's why supported very well by good volume growth, of course, with our overall 24% portfolio. And as Zoran was saying earlier, the segmented execution, DIA and our execution capabilities. Zoran?
Zoran Bogdanovic: Yes. Thanks. So Sanjeet, on the boycott in Egypt, we've seen Q1 a very solid performance. We did expect that. And we've seen also that we are cycling through harder level of boycott of last year in Q1, and we see less of an impact this year. And therefore, we do see that we have a good recovery with Sparkling starting with the Coke brand and also with the rest of the Sparkling portfolio. So that's very good to see. And just to say that, that's fueled by really very good locally relevant marketing campaigns and execution that the team is continuously, evidently stepping up, and that gives us a really good confidence for how the team will perform throughout the year and beyond. And just also to say that very good to see that we are gaining share in Egypt, which is also a good sign of how we play in the market in these circumstances. I hope that helps, Sanjeet.
Sanjeet Aujla: Very good.
Operator: Thank you. We have no further questions at this time. I will now hand back to you for any closing remarks.
Zoran Bogdanovic: Yes. Thank you, operator. Well, I'd just like to thank everyone for taking part in today's call, and we look forward to catching up with you again soon. So wishing you all a good day. Thank you, and goodbye.
Operator: This concludes today's conference call. Thank you all for participating. You may now disconnect your lines. Thank you, and have a good day.